Operator: Greetings and welcome to Rick's Cabaret International Inc. second quarter conference call and webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. On the call are President and CEO Eric Langan, CFO Phil Marshall, Investor Relations Counsel Allan Priaulx. It is now my pleasure to introduce your host Allan Priaulx. Thank you. Mr. Priaulx, you may begin.
Allan Priaulx: Thanks, Doug. Good afternoon, I'm Allan Priaulx, Investor Relations Counsel for Rick's Cabaret. And welcome to our second quarter 2010 conference call and webcast. In a moment I'll turn the call over to Eric Langan and Phil Marshall, and they will present our second quarter results and then answer any questions you might have. Before we begin I'd like to call your attention to our Safe Harbor Statement, which is included on slide two of our PowerPoint presentation available on our website and at precisionir.com. Please take a good look at this statement as this conference call may contain forward-looking information, within the meaning of Section 21E of the Securities and Exchange Act of 1934. I'd also like to remind you that Rick's Cabaret files reports and other documents with the Securities and Exchange Commission and all of them are available on our IR website which has a new address, www.ricksinvestor.com. This is a new discreet investor relations web address for our investors. It's different from the www.ricks.com address which formerly was in use. Also I want to invite anyone in the New York City area to attend our due diligence event tonight at Rick's Cabaret in Manhattan. We start at 6 pm. You will have a chance to meet Eric Langan and to get a guided tour of the club and see how we conduct our business at the club level. And now I turn the call over to Eric Langan. Eric?
Eric Langan: Thank you, Allan. And thanks everyone for calling in. I'll begin the presentation with a quick overview of 2010 reviewing our second quarter 2010 performance, the impact on our bottom line emphasis in this quarter, the impact of the debenture redemption that we did here in May and update you on the balance sheet a little bit as well and an outlook for the remainder of the year and conclude with a question and answer session as always. To provide a quick snapshot of 2010 versus 2009, you see our total revenues were $22.5 million versus $18.4 million or a 21.9% increase over the last year and our net income was $2.94 million versus $839,000 last year, earnings per share of $0.30 on a fully diluted basis versus $0.09 last year. Same store sales for the quarter were up 14.9% over the second quarter of last year. Our primary factors were improved customer spend. What we've really seen this quarter was a return to what I call top of the menu spending where guys would get a menu, a bottle menu or menu and they'd go down and look for medium priced or small priced bottles, order a bottle so they can continue to get for bottle service and VIP service. Back to the, just give me the top bottle here on the menu; find the most expensive thing on the menu which definitely helped in that quarter. We also reduced our marketing expenses in this last year as we said we could at the end of the December quarter and we had a turnaround in Las Vegas by changing a few things out there and seeing that we've matured and learned that market a little bit. I'd like to let everyone know that our cash flow does continue strong. On a going forward basis, we believe that will continue. Aggressive marketing and other improvements continue to pay off with very strong sales. We cut back a lot of marketing and at the end of December, we let that marketing not run all the way through the end of March and yet we will continue to see our revenues increase month after month in those markets, especially in the Dallas-Ft. Worth market and we also had of course the big boost from the Super Bowl and the NBA All Star Game. We moved our focus to the bottom line instead of top line revenue. In the October to December quarter as we told you we were really focused on top line growth. We wanted to keep our clubs busy regardless of whether we were able to much a bunch of money of the customers coming in, we wanted to our clubs as one of the busiest clubs because we've seen at September, a slow turnaround was coming in the economy and it seemed like the customer was starting to – consumer spending was starting up in our locations again and so as that happened we wanted to keep the customers in our clubs so that as we were able to go in and build the top quality girls and as the quality retainers we're trying to settle in and find a home future where they were going to work that they would be attracted to our location because we were busy. As we moved into the January quarter, we changed that focus to more of a bottom line emphasis. We wanted to have customers in our building and we wanted to be busy, but we wanted to make money of both the customers as well. So, as we move forward and as we move into this quarter, we've got very careful with our marketing cost. We've also been able to pass on selective price increases through the last three or four months and start back on happy hours and cut back on certain special promotions that we brand that increase our cost of goods in the past and maybe bringing more customers in, but not necessarily customers that we make money on both. We've also focused in this quarter on cutting our operating expenses, better uses of purchasing power using our regional efficiencies so that our management efficiencies were better and really meeting at our corporate structure. Our goal is to continue the revenue growth, and build the strong bottom line and earnings at the same time as we grow our revenue. February was very strong for us even without the contribution of the Super Bowl and the Pro Bowl and the NBA All-Star game, what was really impressive was March with a very broad-based performance of most of our clubs. New York had an amazing month, the most proper month ever for that location opened to 2005, and a lot of other locations to see that, and as you think from our gross revenue report that we put out in April is a very strong, strong up growth, revenue month for us. Free cash flow is still going forward basis of about $1 million a month and also we had a onetime expenses in this quarter from VCG-related legal expenses from the acquisition that we were unable to complete of about $246,000 that affected our earnings. We're very optimistic that we will achieve our guidance in 2010. What are our several factors that will weigh into that on a go forward basis, we believe that we are poised and set to meet those challenges and we'll continue to perform. Our big-ticket customer is returning to our A club. Like I said earlier, the customers were already from the competent menu, they're ordering the more expensive bottles and champagnes and wines and our B Clubs are – we're seeing a increase of the $30 to $50 customer where he had kind of disappeared with coming in, not all coming in once a week, where we're now starting to see a couple of times a week, that regular customer, a lot of people purchasing at the bar, trying to sit around the bar and drink doing that $30 to $50 in each visit, but they are more frequent visitors, and we're seeing the returns of those customers as well. But the main thing that we're seeing it is the consistency and return to more normal visit patterns and more normal spending habits. That's what you see in our April sales numbers. And our April sales numbers, you've seen that that's a typical trend. Last April was a record month for us. A lot of that record was due to the Las Vegas location and the change in the marketing and marketing program in Las Vegas. But what we're really seeing right now is the trend of the normal, so that January, February and March are big months and April's are off months because of Easter because of tax time. Then we were moving to May and May becomes a much more solid month and then we're moving to our summer June, July and August and then will have the September once gets start back into school which should typically be an off month again. We've kind of watched through the summer to see how those trends continue and see if it looks like we're going to get out and work. The consumers are going to be on a more normal spending pattern for entertainment. The Las Vegas revenue was lower but our net revenue after marketing cost was actually higher and we were profitable in the second quarter compared to a $633,000 loss in the second quarter of last year. The real turnaround there is the taxi-cab marketing cost has stabilized at about $20 to $30 ahead and $30 during prime time hours and $20 during off prime hours. So, for all the clubs that helped at these levels, if the other clubs decide not to play bear in the future and maintain the stability that has been created in the marketplace we will be aggressive again. We are hoping that at this time that everyone will continue to play and that we will use like every other market in the country will use just standard marketing procedures with billboards and advertising in newspapers and magazines and what not but if it gets back into the taxi-cab we are prepared to play but I believe at this time that everyone is quite satisfied with where the payouts are and building that business again instead of losing money. The big question that remains in Vegas and throughout the casinos and everyone else wants to know as well as will Vegas can again attract the profitable travelers. While Vegas has spectacular travelers and full, a lot of nights and specially on the weekends, it's not the big ticket customers, not the great, the Club A customer who is buying bottles, we are still seeing a lot of lower end spending in the Vegas market and hopefully as the economy comes back we will see that big ticket customer back there as well. As we discussed in New York City record months, in March we are seeing strong numbers in New York, that club has always performed well for us. One of the big questions that I am sure a lot of you have and we obviously will take care of that while we are on this slide is, I know there was a recent ruling saying that the State of New York, I mean the City of New York had closed down some of the clubs, our club has not affected by that ruling. That ruling is strictly for locations that operate under a 60%-40% or a 60% is non-adult, 40% is adult. The ruling actually says that they can now not operate the 40% in that business as well. Nothing has changed at this time I think there is some field process some stuff going on right now but it is definitely getting the much shorter lived time for those locations in my opinion and I believe that if the city is successful and in closing that we hope for the 60-40 clubs it will actually increase Rick's business. The other kind of thing that we are seeing more the big spend customers and that's really in the New York market. Giving an idea of our debt overview on May 5th we converted $7.2 million in convertible ventures that were issued in August of 2009. We believe the result of this is the strengthened balance sheet as we drop our total debt to $132 million and savings of $720,000 a year and annualized interest expense. We are also looking and considering and aggregating some of our mortgage debt and maybe refinancing some of our mortgage debt. Remainder of our $32 million about $27 million of that or $25 million, I think somewhere between $25 million and $27 million of that is tied to real estate and we have been discussing with different individuals and some funds about restructuring that debt into a single loan and put it into a more long term debt. We will continue to use our free cash flow to buyback the put options or at least or taking that stock out of the market. As we have always said that we look at those put options as basically an interest reform of debt that could self liquidate if the stock performs. And of course the market had a little setback when we went down and we're buying those put options back. But there is plenty of cash flow being generated from the businesses that we bought. With that stock to buy that stock back, and eventually it will self liquidate and that cash flow will stay in the company. I think the most important part of our strategy going forward is our growth strategy, how we are going to grow. Organic growth continues and it continues to help increase the generation of free cash flow. We do anticipate some type of acquisition every quarter. That is our goal, to continue to a one acquisition per quarter basis. We were busy in the second quarter with the Super Bowl and the NBA All Stars games and of course with the VCG but we have resumed active discussions with many other potential targets. I believe we will have an acquisition close by the end of this quarter that we're in now if not sooner and we're looking for an acquisition for the next quarter that we're in discussions with as well. We are going to continue to acquire in a three to five times EBITDA purchase range and we will continue to seek properties that will be significantly accretive and immediately accretive. We're looking on the East Coast and the West Coast. But we're also looking where we get the best cluster benefit in markets that we exist in now. We believe those clubs are the easiest for us to take over, operate and to make sure that they complement our existing brands instead of competing with our existing brands. Generally the plan of one a quarter, one acquisition per quarter is very easily achievable by us. We have about $12 million in cash on hand right now. The marketplace knows that we are the serious buyers out there. We can do cash or owner finance. We can issue equity if our equity is in the right spot. But right now we're being very picky in the properties that we are seriously considering. We're not wasting a lot of time, flying all over the country, looking at different locations. If the numbers aren't right, the numbers don't make sense in the place we're just really not even looking right now. We're really looking for locations that are already profitable and making money. We're still watching the overall economy closely and if we continue to see the strength gaining this summer we will start becoming more aggressive in our acquisition strategy. We are also looking to try to close a mega club within the next year if not sooner to make sure that we can continue to grow looking for another Tootsie type acquisition that we can pick up and add to the head of the company. Our goal is to identify those high quality targets and buy them for the right price and you do not just buy something to buy something. We went through that in 2008. We learned from that. We're not going to make those mistakes again. We're going to be very focused on our acquisition and make sure that they add to our bottom line. Now that is the formal presentation. I would like to invite everyone out to the club tonight. I will be there from 6 pm to 8 pm at 50 West 33rd in New York City if you have a chance of come by for some due diligence and for those of you that can't make it tonight to ask your questions personally, I ask you to go ahead and the operator can queue you up and we'll get started on our question and answer session.
Operator: (Operator Instructions) Our first question comes from the line of the Eric Beder from Brean Murray, Carret. Please proceed with your question.
Eric Beder – Brean Murray, Carret: Good afternoon guys.
Eric Langan: Good afternoon. How are you?
Eric Beder – Brean Murray, Carret: I'm doing fine. Could you talk a little bit about first of all – just some hard hitting questions. How many clubs are opened as of the end of the quarter?
Eric Langan: 19, actually no, 18 at the end of the quarter. On April 4th, we opened the 19th club. So, we've 19 opened right now.
Eric Beder – Brean Murray, Carret: Great. If you look at where in the balance and the income statement is the charges for the VCG acquisition the legal charges?
Eric Langan: Well, the auditors would not let us break it out. So it's actually in whatever categories it's fell in. If it's under – if it was legal and it's under legal, accounting and if its – if it was advice, it's under – it maybe under the – let me look at the – but most of its going to be under legal and professional. Actually, and yes, this one is going to be under legal and professional gets all consolidated so it will be built into the legal and professional numbers. You will see that our legal and professional without that would be significantly lower than it was in the previous year because of the settling of the Minnesota case.
Eric Beder – Brean Murray, Carret: Right, and if you look at you talked about Vegas turning, are you seeing some of the other kind of like some of the clubs actually like Philadelphia is starting to see some changes there also?
Eric Langan: Well, we made some changes in the management, and we're seeing some improvement, but it's still a very, very tough economy in Philadelphia. The unemployment rate is still pretty high there. As jobs come back I think we'll continue to see, we have negotiated with the – actually we own the land, but we have a partner in the land and we negotiated with the partner of the land to actually cut the rent down at that location starting in May. So the rental will be a little bit lower starting in May, and we've done some things to lower some other cost there as well. And actually, what we've been focused on because we do believe it will be a little while before the economy is strong enough in Philadelphia to really bring that club to where it needs to be from where it was before the economy went down. When we first converted into Atlantis we were doing very, very well for us and actually generating a significant income for us, so and I believe we'll get back to that. It's just the progress right now.
Eric Beder – Brean Murray, Carret: What is the status on the DFW club? How is that progressing?
Eric Langan: Actually, I was there this weekend and took some pictures. We're going to try, get it post on the website soon. The – it's under construction. The forms are laid out. They are getting ready to pour the flab, the steels onsite, so all the steels are onsite right now and we're being told by the contractor that he believes that he will be done around August 15th so. So, we're very optimistic that we will get that club opened before the end of this fiscal year.
Eric Beder – Brean Murray, Carret: And in terms of shares outstanding by converting the preferred, what shall we be thinking about going forward in terms of that?
Eric Langan: There are now 10, 22,000 million shares, is that right?
Phillip Marshall: It's right.
Eric Langan: About 10.2 million.
Eric Beder – Brean Murray, Carret: Yes. Thank you. So kind to say the same we have in the press release now?
Eric Langan: Yes. It's on the front page of the 10-Q. $10,212,867 million.
Eric Beder – Brean Murray, Carret: And that's after the conversion?
Eric Langan: Yes. (inaudible).
Eric Beder – Brean Murray, Carret: Okay and I guess the final question is on M&A. you're doing it three to five times. What you're seeing? Are prices coming up or prices coming down?
Eric Langan: We say three to five times is our target range. Actually right now, we state as you've see from our last two acquisition, very close to under to be under three times, or at three times. We have stayed pretty close to that, we are looking at a couple of Mega Clubs right now out there that we would probably push closer to a four times multiple on and like I said we are going to be negotiating on those facility, could push a little higher, a little less depending on what we see as we look at those locations, and what we think we can get it as far as an increase from what they are doing. Whether or not we believe we get an increase, Tootsie's when we look at Tootsie's; of course we increased the revenues by $0.5 million a month. So, we can go into a location and get that type of increase from a mega location by making certain change that we believe that the market will do that and obviously we will be willing to pay towards the higher end of three to five and if we believe that location is maxed out we are going to push the face close to three times if we can.
Eric Beder – Brean Murray, Carret: Great. Congratulations.
Eric Langan: Okay.
Operator: (Operator Instructions) Our next question comes from the line of Peter Heise from RedChip Company. Please proceed with your question
Peter Heise – RedChip Company: Hi guys. Congratulations.
Eric Langan: Thank you.
Peter Heise – RedChip Company: When you are talking about consolidating your mortgage debt, do you have any sort of range for that?
Eric Langan: Well I mean obviously we want to pay less interest than we are paying now.
Peter Heise – RedChip Company: Like maybe 200 basis points or?
Eric Langan: Well it just depends on the cost and the terms. Some of it is on five year balloon and some of it is on longer amortization schedules. So, basically I will have to really look at the overall package and see if we could find something that makes sense. But we would like to be with – give you the point where we are not mailing out 15 payments to 15 different lenders and dealing with that type of stuff and then maybe consolidate it into a single lender that we can also maybe even setup a line of credit against as well. So, we have a draw down on it, we believe we have somewhere around $35 million to $38 million worth of real estate with about $25 million of debt against it. So, we could put together the right package than we could actually have a fund where we could pull $5 million or $10 million additional funds against if we have another acquisition or if more real estate comes up and that's really the long term plan for us to be able to secure our real estate and these acquisitions. We don't have to worry about owner financing or coming up with a bunch of our own cash out of our cash loan to buy real estate. We want to take our cash loan by more earnings and more revenues.
Peter Heise – RedChip Company:
Eric Langan: We obviously sell merchandize in all of our locations somewhere close to – we call it feature time or up time where all the growth go up and you buy a feature item from and get to dance that type of stuff. That's really how we push most of it, we of course we have a little thrown our website in that. Merchandizing is just a very small part of our revenue at this time. I think as we grow into a more nationalized chain and more national recognition that we will increase that marketing presence and maybe even with the licensing different products what other people may merchandize for us so that like whether [ph] so we generate revenue without actually having to come up with all that upfront cost of it. So, those are some of the things we look at, I think we are still away from that type of marketing exposure, just because the sheer number of locations we have.
Peter Heise – RedChip Company: Right. And are the talks now completely done with BCGH [ph]? Is that completely off the table?
Eric Langan: Well I am a never say never kind of guy, if the right deal presented itself I would look at it I never – I don't think I ever try to burn bridges. At this time under the current terms of the letter of intent, that deal is gone. They claim they could not deliver and get the consignments that were necessary to deliver the assets and so therefore that deal was unable to be done and we basically didn't agree on anything other going forward. So rather than waste our time and energy chasing something, we weren't chasing that deal when it came. It kind of popped into our lap. We looked at it and we showed interest and the reality is there's a lot of stuff out there to buy and the multiples that we're paying on a lot of other stuff are much lower than the VCG deal was. The attracts of the VCG deal was of course getting in so many markets that we're not in right now and going to 40 locations in a single transaction. It turns out that, if you will, probably will never leave. However the deal has to be right. It has to be priced right and it has to make sense for Rick's shareholders or we're not interested. As I said earlier we're not interested in doing deals just to do deals. We want to deals that are going to build our company, strengthen our brand and our balance sheet and increase our cash flow.
Peter Heise – RedChip Company: And they haven't come to you at all since the deal closed or you haven't been in contact with them?
Eric Langan: No we haven't talked.
Peter Heise – RedChip Company: All right, thanks guys.
Operator: Gentlemen, there are no further questions in the queue at this time. Do you have any closing remarks? We did just get a couple more. Our next question comes from the line of Richard Keim from Kensington Management. Please proceed with your question.
Richard Keim – Kensington Management: Hello.
Eric Langan: Hello.
Richard Keim – Kensington Management: Hi, Eric. How are you doing?
Eric Langan: Thank you.
Richard Keim – Kensington Management: Quick question. You show securities on your balance sheet.
Eric Langan: Yes.
Richard Keim – Kensington Management: What are they?
Eric Langan: VCG Holdings.
Richard Keim – Kensington Management: Okay, so you do continue to hold that?
Eric Langan: Yes.
Richard Keim – Kensington Management: That's the question. Thank you.
Eric Langan: All right, no problem.
Operator: And the last question in queue comes from the line of Steven Martin from Slater Asset Management. Please proceed with your question.
Steven Martin – Slater Asset Management: Hi there, Eric.
Eric Langan: Hi.
Steven Martin – Slater Asset Management: Can you update on the status of the Texas legislation and how that's flowing through the income statement this quarter?
Eric Langan: Okay. We expense it of course but we don't pay it. So it shows as an expense but it also shows an add back into the cash flow on the cash flow statements.
Steven Martin – Slater Asset Management: Should I assume that it's in taxes and permits?
Eric Langan: Yes, it is definitely taxes and permits.
Steven Martin – Slater Asset Management: Could you tell us…
Eric Langan: Actually it may be line items. Phil, did we line them out this time?
Phil Marshall: I don't think it is.
Eric Langan: No, it's not lined up. Actually it's tax and permits.
Steven Martin – Slater Asset Management: Will you disclose in the 10-Q how much in each quarter it is?
Eric Langan: Q, I don't – we probably didn't do it in the Q. I know we do in the K. In the K, we line them out in the K. So that you know, there is a patron tax section okay. But it's about, I want to say it's about $600,000 a quarter.
Phil Marshall: Its $269,000 a quarter.
Steven Martin – Slater Asset Management: $269,000. What was it last year this quarter?
Eric Langan: $166,000.
Steven Martin – Slater Asset Management: So you suffered [ph] loss because you have more tax disclosed?
Phil Marshall: Exactly.
Eric Langan: Are you talking about the patron tax?
Steven Martin – Slater Asset Management: Yes.
Eric Langan: Is how much? It was $2.6 million in five quarters so we'll leak [ph] $0.5 million a quarter.
Steven Martin – Slater Asset Management: Okay, well maybe….
Eric Langan: Yes, we've got to look that up. We'll look that up and pull that out for you.
Steven Martin – Slater Asset Management: Yes, maybe when you guys file the Q you can put that in the disclosure, seeing as it is a material item and it's a non cash item.
Eric Langan: Yes, it should be in the notes. I believe it was in the footnotes last time around.
Steven Martin – Slater Asset Management: Okay, Eric can you talk about…
Eric Langan: I will find it for you Steve and give you that number.
Steven Martin – Slater Asset Management: Okay. Can you talk about what's going on in cost of alcoholic beverage and food, etc.?
Eric Langan: Everything is kind of held up [ph] and steady as you see our cost is actually dropped for this quarter, but it was because we've had so much high ticket volume, where there's lot of profit on it.
Steven Martin – Slater Asset Management: Okay, so and saying in food and other cost to goods sold type items?
Eric Lang: Yes. Everything's been staying pretty steady. We've done very, very good at keeping our cost very steady. I'm running around, around 12%.
Steven Martin – Slater Asset Management: Okay, thank you very much.
Operator: Our next question comes from the line of Phillip Bartlett from Deutsche Bank. Please proceed with your question.
Phillip Bartlett – Deutsche Bank: Yes, Eric you know your Tootsie's acquisition was such a terrific buy, such an enormously profitable property and establishment and I'm really interested to hear, are there really potentially other targets similar to that in United States that could be that attractive? I don't want to name them obviously, but I was under the impression that my god, how could there another place like us?
Eric Langan: Well, there are another clubs that that are growing those types of numbers. Now whether we can get it for the same 2.5 times or 2.8 times EBITDA, it's a trick question. I think that would be a little more difficult. I think you're going to see these clubs to trade more in the three to four multiple range but if you look at what our stock was trading at back then, as far as our EBITDA multiple versus what we paid, the spread is going to be about the same. So, for an existing shareholder, the expanded margin should definitely help cushion that even though we were going to be paying a little bit of higher price. If we get into a situation that were similar to that where you have two partners that aren't getting along and want to sell their properties, they want to sell no matter what and Rick's is the only cash buyer. I think we can end up in a situation where we can pick up something in that price range like we did with Tootsie, but the reality of it is that Tootsie's was a diamond in the rough and on top of that it was just an incredible buy to begin with. I don't think if we even vision that we could ever have increased the revenues of $5 million a year when we brought it. Though that was like – that was the icing on the cake, but the cake itself wasn't bad at – we were buying $8.8 million in EBITDA for $25 million price so and only put $15 million in cash up front financing on the (inaudible) through the owners. It was a once in a lifetime, very sweet deal but there are other properties out there similar to it. It's just whether we could get the deal to be as good, that's the real key, but there are definitely several properties in the United States right now that are in that $15 to $25 million revenue range and we're definitely seeking those types of properties right now.
Phillip Bartlett – Deutsche Bank: Good luck finding your diamonds.
Eric Langan: Thank you.
Phillip Bartlett – Deutsche Bank: Hi, Eric. Let me clarify. I did finally find that number; (inaudible) it's $810,000 –
Eric Langan: That sounds more like it. Okay. I'm going to pass up to I thought you were probably just in one group instead of the entire taxi (inaudible) or Rick's or something with the 260 number, so do it.
Operator: Our next question in queue comes from the line of Barry Burns [ph] who is a private investor. Please proceed with your question.
Barry Burns: Eric, two questions. First of all, I think it can be more of subtle. Am I correct in what I heard that you're basically at this point as far as the rest of the year kind of understanding by the guidance that you've given previously?
Eric Langan: Yes, at this time. Yes.
Barry Burns: And the second one is I guess more of a cosmetic one. Is it just the cost and/or is it – have as if you ever looked in terms of the benefit of either changing to a calendar year from a fiscal year. I remember two years ago I think it was, I think you used to also report on what the guidance or what the results were on account year basis even though we were still a fiscal year back then.
Eric Langan: We didn't very cautious with guidance at this point simply because it's just so hard, there is so many changing factors with the economy right now and with unemployment and the consumer is so fickle. So, we have been very cautious on giving guidance more than the current fiscal year. As far as changing to a calendar year, we don't see the benefit in the calendar year versus the fiscal year. The fiscal year orders are cheaper, our orders are available to us because they are not competing, we are not competing with so many other companies. There is not the rush and everybody – because our fiscal ends in September of course our finance is throughout in December which makes it much easier for us to get everybody to work right, get everything done right. So, they all want to get it done before Christmas. So, we feel that we will get just much more timely, and much easier and smoother transition for ourselves in getting our financial reports out by being on the fiscal year.
Barry Burns: Thank you.
Operator: There are no other questions in the queue at this time. I would like to turn the floor back over to management for closing comments.
Eric Langan: All right. Well, thank you everybody for calling in and appreciate the questions and your time and hopefully I will see a bunch of you tonight at the club. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have wonderful day.